Operator: Good day and welcome to Ares Management Corporation's Fourth Quarter and Year End 2020 Earnings Conference Call. At this time, all participants are in a listen-only mode. As a reminder, this conference call is being recorded on Thursday February 11, 2021. I will now turn the call over to Carl Drake, Head of Public Company Investor Relations for Ares Management. Please go ahead.
Carl Drake: Good afternoon and thank you for joining us today for our fourth quarter and 2020 year end conference call. I'm joined today by Michael Arougheti, our Chief Executive Officer and Michael McFerran, our Chief Operating Officer and Chief Financial Officer. In addition, Bennett Rosenthal, Co-Chairman of our Private Equity Group; Kipp deVeer, Head of our Credit Group; Bill Benjamin, Head of our Real Estate Group; Scott Graves, Co-Head of our Private Equity Group; and Blair Jacobson, Co-Head of European Credit will also be available for the question-and-answer session.
Michael Arougheti: Great. Thanks Carl, and good afternoon everybody. I hope that everyone is healthy and wish you well. This morning, we reported exceptional results for our fourth quarter concluding a very strong year for Ares, despite the challenging economic and market conditions brought on by the global pandemic. We achieved records in nearly every financial metric with full year growth in AUM and fee related earnings both exceeding 30%. Our AUM growth was driven by nearly $13 billion dollars of gross fund raising in the fourth quarter and $41 billion for the year, both all time records. As investors continue to entrust more of their capital to Ares and as we continue to demonstrate our ability to generate strong returns throughout market cycles. Our 44% fee related earnings growth for the fourth quarter and 31% for the full-year were driven by strong top line growth coupled with margin expansion from economies of scale. We were able to accomplish this while still investing substantially for future growth through the incubation of new products, new platforms and new strategies. Our FRE margins expanded throughout 2020 to a record 37% in the fourth quarter, an improvement of over 500 basis points year-over-year.
Michael McFerran: Thank you, Mike. Hello everyone, I hope all of you are safe and well. I will start with a review of our results for the fourth quarter and the full year, then I will provide an update on where we stand nearly midway through the first quarter of 2021. Before going into the details, I will highlight that our fourth quarter results not only reflect the strong growth trajectory of our overall business, but they also reflect our greater scale, as we broke financial records, in nearly every category this quarter with record capital raising FRE, AUM fee-paying AUM, dry powder and AUM not yet earning fees. Our realized income was likewise strong, reflecting our record FRE, and strong realizations across our businesses. We ended the year, with our fastest growth rate of both AUM and fee-paying AUM in over a decade. For the fourth quarter FRE totaled $127.6 million, an increase of $20.7 million or 19% from the third quarter of 2020, and an increase of $38.9 million or 44% from the fourth quarter of 2019. FRE for the year ended December 31, 2020, totaled $424.5 million, an increase of approximately 31% from 2019. Our FRE for the fourth quarter, and year ended December 31, 2020 reflect an FRE margin for the quarter of 37% and 35% for the entire year of 2020. This represents nearly a 400 basis point increase and our full year margin as compared to full year 2019. FRE for the quarter was driven by record management fees totaling $335 million, an increase of approximately 23% over the fourth quarter of 2019. For the full year, management and other fees totaled over $1.2 billion, an increase of over 17% from 2019. Management fee growth for the fourth quarter reflected seasonally strong deployment and the fulfillment of some pent up demand, including record commitment originations from ARCC of more than $3.8 billion for the fourth quarter, which resulted in ARCC Part I management fees being about $15 million higher than the prior three quarter average. This resulted in an above average FRE contribution of about $6.3 million for the fourth quarter. Management fees also included the partial activation during the fourth quarter of our six corporate Private Equity Fund, which has paid a committed capital of approximately assuming approximately $4 billion. As a result, the management fee basis and rates step down for our predecessor fifth Private Corporate Private Equity Fund on January 1, but the impact will be partially offset by a full quarter of management fees from our six PE fund. Importantly, this is a moving target as we continue to fundraise for our six corporate private equity fund. Future closes will increase management and catch up fees, with each interim closing of LP commitments. Turning to expenses, compensation and general and administrative expenses grew by approximately 13% and 11%. From the fourth quarter and full year 2019 respectively. Our revenues continue to grow at a faster pace than our expenses, which supported margin expansion for the fourth quarter and full year. We always income for the fourth quarter totaled $186.2 million, which is up sharply from our third quarter. But down modestly from our record fourth quarter of 2019. Our private equity group generated over $1 billion in realizations in the fourth quarter, driven mainly by the sale or partial sale of two private portfolio companies. For all of 2020, we had private equity realizations of over $5 billion as Mike stated. After tax realize income per share of Class A common stock net of preferred stock distributions was $0.54 for the fourth quarter, down $0.67 in the fourth quarter of 2019. But full year 2020 after tax realized income of $1 86 per share of Class A stock was up 11% versus 2019. I do want to touch on our effective tax rates for 2020 and 2021. With respect to our 2020 taxes, our full year effective tax rate unrealized income, assuming all shares were converted to Class A common stock was approximately 11.5% with a tax rate and fee related earnings of approximately 7%. While our tax rate is the function of numerous variables, we currently estimate these effective tax rates for 2021 will be in the 8% to 13% range for realized income, and 4% to 8% range for fee related earnings, assuming 100% of our shares were converted to Class A common stock. This brings me to our annual dividend discussion. As a reminder, we peg our annual dividend to our expected growth and after tax fee related earnings per share. Based on our strong growth prospects, we have elected to increase our annual dividend for 2021 to $1 88 per share of Class A common stock up 17.5% from our $1.60 per share for 2020. Accordingly, our board declared our first quarter common stock dividend to be paid on March 31 of $0.47 per share, as Carl stated. Next I’ll turn to our AUM and related metrics, as of yearend our AUM totaled $197 billion compared to $179.2 billion for the third quarter, a quarterly increase of nearly 10% and not more than 32% versus $148.9 billion at the end of 2019. Our AUM growth in the fourth quarter was largely driven by organic growth and strong asset appreciation, including gross new capital commitments of $12.8 billion, and market appreciation of $5.5 billion. In addition, Aspida’s acquisition of F&G Re added $2.2 billion during the fourth quarter. Our fee-paying AUM totaled a $126 billion at year end, an increase of approximately 12% from the third quarter of 2020 and 30% from the year end 2019. Our growth in fee-paying AUM was primarily driven by meaningful deployment and our global direct lending, special opportunities and alternative credit strategies and new commitments across all three groups. Our available capital increased to a new record high of $56.3 billion, an increase of over 62%. Year-over-year. We ended the quarter with $40 billion of AUM, not yet or fees, of which approximately $37.1 billion is available for future deployment, and if deployed, corresponds to potential annual management fees totaling $401 million, which would be a 30% increase over the fourth quarter management fee run rate. With our significant available capital and dry powder, we remain very optimistic on the potential growth prospects ahead of us. Last, our incentive eligible AUM increased by nearly $30 billion to $117 billion and of this amount $46.5 billion was uninvested at year end. The fourth quarter saw continued appreciation of our net accrued performance income balance, which now sits at $364.7 million. This represents a 13% increase from the third quarter and a 5% year-over-year increase from the end of 2019. Despite substantial realizations over the course of the year, with record levels of incentive eligible AUM, including more than $46 billion that is uninvested, along with our net accrued performance income. We believe we have the foundation in place to generate and recognize meaningful long term value for shareholders through additional performance fees over time. And next, I’d like to take a moment to address our very strong financial position and capital structure. We ended the year with over $1.5 billion in available liquidity between our $540 million in cash on the balance sheet, and no amounts drawn on our $1.065 billion corporate revolving credit facility. Our liquidity at year end has as well positioned to continue to support the organic growth of our firm, as well as be positioned to pursue continued inorganic strategic opportunities if and when they arise. Before turning the call back to Mike, I do want to provide our thoughts on our future outlook from a financial point of view. The capital raised to-date resulted in us ending the year with over $37 billion of AUM not yet earning fees available for deployment with corresponding potential annual management fees of over $400 million. And as Mike mentioned earlier, we are expecting 2021 to be another very strong year of fundraising. Accordingly, we are very well positioned to continue to drive management fee and in turn FRE growth in the years ahead to the capital we have raised and continue to raise. While we anticipate and may be difficult to match our record fourth quarters fee related earnings in the first quarter of this year. I do want to reiterate our prior guidance that we expect to be able to generate year –over-year FRE growth of 15% or higher for 2021 and years ahead, and we do expect to achieve a run rate 40% margin in less than three years from the end of 2020. I'll now hand the call back to Mike for his thoughts on our future outlook and concluding remarks.
Michael McFerran: Great, thanks, Mike. We've always said that Ares is a business that can perform throughout various market environments but that can particularly outperform in difficult markets. In our view, 2020 was a year that validated this all weather business model. We have long dated locked up capital and durable management fee centric revenue streams that aren't impacted by significant mark-to-market volatility. We have strong liquidity and capital markets access as well as a robust fundraising engine that allows us to grow through challenging markets. We also have considerable investing and information advantages that drive consistent outperformance through cycles. I believe that we have a best in class team. This is all against the backdrop of a long term growth trend and alternative investments. Our products are growing more relevant as investors remain frustrated with low interest rates and the dual challenges of high valuations and volatility in the traded markets. We're seeing investors consolidating the relationships among fewer trusted asset managers. And we continue to have strong success, expanding our share of our client dollars with larger successor funds, new strategies, strategic managed accounts, and by opening up new channels within retail and insurance. Heading into the New Year, we continue to be very excited for our organic and inorganic growth opportunities. We have a growing sticky client base of nearly 1100 institutional investors, and hundreds of 1000s of retail investors that helped fuel our growth with their appetite for additional Ares products. In 2020, more than 80% of our new capital raised was derived from existing clients, which we believe is the best validation of their satisfaction with our performance and their investment experience. We have record amounts of available capital that we can deploy for future growth in the years to come with over 500 investment professionals in over 20 offices in more than 10 countries. We're well positioned to scale our sourcing and investing appropriately across our many strategies and geographies. And from a strategic expansion standpoint, we're prioritizing the many growth opportunities in highly strategic large end markets where we can exploit our distinct competitive advantages. Our 2020 results illustrate the strong performance and growth of several of these businesses and strategies, including our special ops strategy and our PE Group, alternative credit and our credit group, Ares SSG and growth and broadening of our Real Estate Group. The investments that we've made in these businesses have been firing on all cylinders with respect to performance, capital raising and overall business momentum. We believe that these businesses illustrate some of the many areas that will drive long term growth for Ares and value creation for our shareholders in the years ahead. As I sit here today and I believe that our growth prospects have us as well positioned as at any time in our history, particularly as we continue to scale and realize the full potential of the new businesses that we're building. With that, I just want to end by expressing how impressed by and proud I am of the hard work, and the dedication of our team, and how grateful I am for all that they're doing every day to deliver for all of our stakeholders during these challenging times. I'm also deeply appreciative of all of the support from our investors for our company and I thank all of you for your time today. And with that operator, I think we will open up the line for questions.
Operator:  Our first question today will come from Craig Siegenthaler with Credit Suisse.
Craig Siegenthaler: Thank you, and hope you're all doing well and staying healthy too.
Michael Arougheti: Thank you, Craig.
Craig Siegenthaler: So Michael, I wanted to start with your forward commentary on the SPAC pipeline, and the sustainability of this trend. Because, besides pretty expensive stock market and very high retail engagement. What else are you seeing that could drive a continuation of the SPAC wave? And then my second part on this is thinking about it a different way how is this impacting the investing efforts of the private equity industry?
Michael Arougheti: Sure, it's interesting, because obviously, there's a little bit of a SPAC frenzy it reminds me a little bit of what we experienced when we launched our BDC 15 years ago in 2003, 2004 when there was a similar frenzy and then kind of a settling out and evolution and maturation of the business. So telling you what you know, SPACs have been around for quite some time and supply/demand has ebbed and flowed, clearly the liquidity in the market is driving a lot of issuance and I think we're going to see dispersion in performance over time, the way that we've seen when new capital markets technologies come into the market. I think that Ares and others like us are actually well positioned to differentiate, not just in terms of size, but in terms of the go-to-market strategy. So I think to put it in perspective, when you look at where a lot of the SPAC volume is coming, it's smaller, non-sponsored if you will focused pools of capital. When you look at what we're trying to accomplish, this is really a cross platform opportunity. We think that we're going to bring differentiated origination infrastructure and relationships, unique market insights, obviously, a very long track record, of growing companies in the public market, both from an operational standpoint, but also a public IR standpoint. So I think we're going have to begin to try to differentiate institutional quality sponsorship from now on, that's comment number one, and number two, similar to the BDCs or the mortgage rates or anything else, I think anytime that we see opportunities for increased capital formation for companies, that's a good thing. Over time, with performance and experience, you'll start to see the structures potentially morph and change, but I think it's filling a need in the markets. That, is somewhat evidenced by the demand, which is if you look at the structure of the public markets leading up to 2020, for the last 15 to 20 years, the number of public companies has been in consistent decline. That's obviously been one of the big drivers of the private market trend that we're benefiting from. The market cap in public markets has been increasingly concentrated. And I think that there's been a view that in some respects, the retail investor has been disadvantaged or crowded out. So the idea that we're seeing innovation and capital formation, I think is a big positive. And while there's a little bit of excess in the market, I think that it's indicative of, people's appetite to access these types of companies where they didn't really have access before. In terms of what it means for PE, I think that still remains to be seen. I think it's important that people appreciate what makes a good leveraged buyout candidate does not necessarily make a good SPAC candidate. What makes a great public growth company does not necessarily make a great private entity. And I think what we're finding, which is why we have so much confidence in the structure sitting alongside our PE franchise, is most companies that want to go public are going to go public. And what we're finding whether we're buying companies or selling companies, the opportunity to look at a SPAC execution or private markets execution is going to be pretty meaningful origination advantage for us. So we think at least for our PE franchise, it's additive and supplements what we do and should make us a better originator, I do think that this will chip away a little bit at the aggregate market opportunity for PE when you just look at the amount of capital searching for transactions. And candidly, it will also chip away a little bit on the venture side and the growth equity side as well. But I think plenty of opportunity out there and we're just going have to see how it all plays out.
Craig Siegenthaler: Great, thanks for taking both my questions.
Michael Arougheti: Thanks, Craig. Stay well.
Operator: Our next question comes from Chris Harris with Wells Fargo.
Chris Harris: Thanks, guys. So, on their earnings call last night as part of their earnings release, AMP mentioned that they were having dialogue with Ares, about the sale of its asset management business. Can you guys comment on that? And related, are you looking at that entire business or just the alternatives component?
Michael Arougheti: Sure, I can't comment in great detail, but maybe just to take a step back because it came up on our last earnings call as well. Obviously, we have a very well developed Corporate Strategy Team that is opportunistically looking for areas of expansion inorganically and organically. And we react to what the market shows us. This is unique situation because obviously AMP capital has a, strong global footprint in the private markets. I think that the comments from AMP accurately reflect where we are, which is that there is no transaction on the table for the entire company, and that we are having some constructive dialogue with them about transaction structures and partnership opportunities around their asset management business. I think that's all we can say for now, but as soon as we have more, more to tell folks, we're obviously going to do that.
Chris Harris: Okay, quick question for Michael McFerran if I can, Hey, Mike, it sounds like there's a lot of moving parts with the management fee outlook for at least Q1, can you maybe help us with understanding what the impact is from the step down of ACOF V in dollar terms?
Michael McFerran: Sure. I think as I said in the prepared remarks that, ACOF V turned on during the quarter, ACOF V stepped down Jan 1. So to your point on moving parts, the way I think about the impact is based on the current size of ACOF VI, the impact would be, ACOF V is effective step down for a full quarter offset by ACOF VI for full quarter is about $6 million. That being said, again, I'd really emphasize that the timing of the incremental future closings of that fund, as you get paid on committed all the way back to first close would result in some volatility there, as you have closings, you're going to have catch up fees, hitting those quarters with those closings occur. So a lot of is just going to be based on when the next closings occur. So you might see a little noise in Q1, but I think as a percentage of overall management fees not overly significant. 
Chris Harris: Thank you.
Operator: Our next question comes from Mike Carrier with Bank of America.
Michael Carrier: Great, thanks for taking questions. Maybe first one just on deployment, I mean, given some of the higher valuations, the improving economy, a lot of capital out there is how is the opportunity set maybe changing? Can you provide some context just given how active you've been on the credit side, maybe where some of the valuations and what you're seeing, you know, differs from like the public market, and how you're thinking about the return out there?
Michael Arougheti: Sure. It's a fascinating deployment environment and it's quite unique. And we talked about this, heading into Q4 on our last earnings call. What's so unique is obviously we've got high valuations and liquidity in the traded debt and equity markets that are reflecting higher valuations and a fairly bullish view on both forward earnings, technical liquidity in the markets and increased stimulus that is still a little bit detached from the fundamental economic reality in the economy. And so, when you think about what's going on, you've got to really think about public versus private Real Val , and then COVID, impacted versus non-COVID impacted Real Val . What's so unique about this opportunity for us is based on that bifurcated market, but also the number of strategies we have. The deployments have been very balanced. We had a record quarter in our private credit businesses in Q4, in regular way, kind of non-COVID related new issues and we had a significant deployment quarter in and around, the stressed and distressed parts of our business, in private equity, special opportunities, alternative credit, real estate, et cetera. So, unlike prior cycles, where we kind of see disproportionate distress or disproportionate healthy company investing, it's been very, very balanced. as a good example, I mentioned in our PE business, we had very active deployment in the depths of the crisis at really good entry points, both, distressed and then coming into the fourth quarter, regular way. So I would expect it to be a healthy deployment environment for us going into 2021. Because of that, obviously, the markets are healthy and that typically spurs a lot of transaction activity. The benefit also to the traded markets being a little bit disconnected from the private markets is obviously it shows up in our ability to monetize. So as we talked about, in the prepared remarks, when you look at our opportunity in places like AZEK and Mytheresa and others, the public markets are obviously pretty supportive, for monetization, and they're pretty constructive as we think about our liability profile and how we fund ourselves. And so whether it's add areas management, or add areas, capital Corporation or acre, hopefully people are seeing us take advantage of that market backdrop to drive the cost of our debt and customer equity down.
Michael Carrier: Okay, that's helpful. And then just on the strategic front, you guys have been active, unlocking new strategies, and on the geographic front, but your comment on 80% of fundraising coming from current investors, as you said that the good thing but I just wanted to get an update on the LP base, and the growth outlook, particularly just given so many product opportunities, on the platform and some of these newer ones, kind of scaling up going forward?
Michael Arougheti: Yes, it's a great question. I think, we've talked about this before, and I would encourage people to look at some of the public available information in terms of our investor count, because typically when you look at the fund raising it's about in terms of number of investors, it's typically about 50/50 existing investors. But when you look at Capital, it tends to skew to 70% to 80%, of capital coming from new investors. So, the fundraising cycles or lifecycle of investor here, if you will, is they'll typically start in one part of our platform with a core commitment and then over time, they will not only grow in that, that part of our business with increasing commitment sizes, but then begin to invest across the platform. So when you look at the number of investors, the number of investors is steadily increasing year-over-year, despite the fact that we, you know, we're monetizing greater wallet share with those investors. So if you go look at our investor presentation, you'll see a nice depiction and how that plays out in terms of the percentage of investors that are getting cross sell, cross sold, if you will, into multiple funds in a given strategy, but then also, investing across multiple business lines and areas. So we continue to put a lot of global resources against our asset gathering and Investor Relations and infrastructure, it continues to pay significant dividends. But telling you what, the global demand for our product is significant and growing as well. So it seems that the more resources we put against it, we're just uncovering tons and tons of whitespace. So, I would expect that trend to continue.
Michael Carrier: Alright, thanks a lot.
Operator: Our next question comes from Gerry O'Hara with Jefferies.
Gerald O'Hara: Great, thanks for taking my questions this morning. Maybe one from Mike McFerrin. And as it relates to the kind of glide path towards 40% or more in FRE margin, can you perhaps I assume, you know, ACOF VI is probably a big driver in that, but can you perhaps give us a little color as to what some of the other kind of material drivers of that margin expansion might be? And even if it's, just kind of scale on the business, but any color would be helpful. Thank you.
Michael McFerran: Sure, Gerry. Hello. I said a couple quarters ago that if you looked at us, the last few years, we were expanding the margins on average between 150 and 250 basis points a year. Clearly 2020 as Mike talked about in the deployment statistics was a great year of revenue growth with managed expense growth. And that enabled us year-over-year to grow the margin 400 basis points. So, to your point on that glide path, I don't think it's really a function ACOF V1 per se, that's one fund out of many. It's I think the biggest thing I would look at is AUM not yet earning fees. And, the potential 400 plus million of management fees tied to that 37 billion of undeployed capital, as that capital gets deployed, that's coming in at a much higher margin than we're operating at because the expenses to invest to manage that capital RMC today. So it's really a function of time and a deployment. And when you have quarters, like the fourth quarter, where we had a great deployment, you see the margin benefit from that. Because there's not necessarily a corresponding expense that goes with it. So, we said, a couple quarters back, we thought we'd hit the run rate 40% in three years or less. I reiterated that in my prepared remarks, clearly of us having 37% this quarter and 35 for the year feels like we're definitely on that path. But it's not a function of a given font or anything else. I think we continue to manage expenses effectively as we have for several years and putting that existing capital to work.
Gerald O'Hara: Okay, that's definitely helpful. And then maybe one just on the insurance initiative with the, you know, the closure of the GE , and I think in the prepared remarks, I think there was some comments around kind of new initiatives forthcoming, but any additional kind of comments might be able to kind of add there or even appetite for future strategic opportunities as it relates to the insurance initiative would be helpful. Thank you.
Michael McFerran: Yes, I don't think that there's anything new. So I'll just reiterate what we've said before, which is obviously it's a huge addressable market, both in terms of reinsurance and the annuities market. We believe that given our positioning as one of the largest global credit managers that we're uniquely positioned to source, unique assets and excess return for all of our insurance clients, including a speedo and  FRE, you'll see that just in the growth of our insurance client base over the years as we put more attention on that. And so today, we probably manage an excess of $10 billion for over 120 insurance clients. And obviously, as we get smarter around transaction structuring, and partners with these ensures it gives us a lot more confidence going into the market to originate unique assets for them up and down the capital STAC. The pieces are in place now for us to both organically and in organically scale the speed of platform and that's what we're going to continue to do. As we've mentioned, obviously, we've made a meaningful balance sheet commitment. To do that, we are adding appropriate resources in our Insurance Solutions platform to support that. And we continue to have very productive dialogue with our large LPs around strategically funding that business as well.
Gerald O'Hara: That's great. Thanks for taking my questions.
Michael McFerran: Sure. Thanks.
Operator: Our next question comes from Alex Blostein with Goldman Sachs.
Alex Blostein: Hey, guys, good morning. Good afternoon. Mike, I was hoping to get your kind of latest thoughts around sort of your opportunity set in the retail market. Obviously, you guys have ARCC but curious if there are other more kind of continuously raising retail vehicles you guys are thinking about in the private credit space, like we've seen with some of the other players in the in the space?
Michael Arougheti: Sure, it's a great question, as we've talked about, retail is a big area of focus for all of us. I think we've been early and successful in that trend through traditional structures, obviously ARCC is effectively a way for retail investors to access our private credit franchise, and that company continues to deliver consistent performance. Same with the mortgage rate and our closed end credit fund, we have had some meaningful success, we haven't really talked about it a lot, but with our diversified credit interval fund, CadC, CadX. That's upwards of a billion dollars of equity NAV at this point, I think about $1.04 billion of assets and growing. We think that's a pretty unique growth vehicle for us in the interval, fund format. And then I think we like our peers will continue to try to innovate, that the challenge is we innovate is delivering the excess return in the private markets while solving for, some liquidity needs for the retail investor. And that's really been the challenge. I think we and others are beginning to solve for that and we're seeing scale. I would expect as we continue to build our brand within that channel that you should expect to see us with other product, whether that's, non-traded read product or net lease product and things like that, we continue to focus on it. So I think you'll see growth there. I think you'll see innovation, I think we're uniquely positioned given our credit business to create portfolios that meet that excess return, with liquidity profile that's required to satisfy the retail market. And so more to come on that but an area that we're spending a lot of time on and actually having some pretty meaningful success.
Alex Blostein: Great, perfect. All right, we'll stay tuned for that. And my follow up question for the other Mike. I guess maybe a little bit of a higher level FRE question. But I guess if we look at the FRE momentum in the business over the last two years, right, like FRE grew 30% in 2020, grew 27% in 19. When you guys talk about, 15ish percent FRE growth, maybe it's a little bit over 15%, it's kind of hard to reconcile given the recent trend plus the super cycle plus they'll the deployment, right. So is this essentially just kind of a degree of conservatism or there's something that we're missing from the kind of recent FRE grocery trajectory versus were you seeing on the forward?
Michael McFerran: No, there's no, there's nothing we're aware of that. I had we're anticipating, look, I'd emphasize we've used 15 plus percent. And I know when you look at this year, last year, clearly you could look at that and say, Are we just being too conservative, but we use that not just to talk about 21, but we used to talk about that. For the next several years ahead, and I think that's in my mind, the key point is the way the business is set up. And the amount of dry powder we have with management fees that have not yet turned online, kind of creates great visibility for us and continued revenue and FRE growth for the years ahead, and that I kind of think about a lot of the strategic stuff that we're building today that Mike's talked about, a lot of that's really about going to be driving FRE growth in 2024, 2025 and beyond. And so, again, I don't intend to be unnecessarily conservative, but so I would emphasize that's why we always say 15% plus.
Alex Blostein: Perfect, yes, I just want to be sure when I was running in like any particular year. That's perfect. Thanks very much.
Michael Arougheti: Thank you.
Operator: Our next question comes from Robert Lee with KBW.
Robert Lee: Hey, good morning or good afternoon, depending on where you are. Thanks for taking my questions. Most of them have been asked, but just two quick ones. And Mike, I apologize this did you touched on this earlier. But with all the new products in the pipeline are out there fundraising, a lot of our peers have also talked about raising kind of tech products or both of your products. And if I'm not mistaken, you guys have worked out a little bit of a growth orientation in your PE business, maybe at least relative to peers. So you just kind of curious if that's a control area you're looking at? And then maybe secondly, just as relates to the insurance strategy, just kind of where were things maybe stand with propone at this point?
Michael McFerran: Sure, that's the simple answer to your first question, Rob, is yes. I think what we and our peers are experiencing is with our increasing scale, we are taking disproportionate wallet, from our LP clients collectively and frankly, disproportionate share in the market in terms of the investment opportunity. So I think we and others are uniquely positioned to onboard teams, make acquisitions, and then bring the competitive advantages and the benefits of scale to those, those platforms and accelerate growth and performance. And so, I think that you should expect to see that from us, as you've seen in the past. interesting when you look at what I think we're great at on the equity side, and you can really start dissecting our track record. Some of our strongest franchises are in healthcare, technology and financial and business services. And so given our middle market experience and the relationships that we have there, it's a pretty obvious adjacency, for us to leverage that into the growth end of the market and something we spent a lot of time talking about. With regard to Pavonia . I think we hopefully are coming to a resolution there. I don't want to be too committal here. But obviously, we have gotten sideways a little bit in terms of the level of distress that the selling shareholder of that, that company is undergoing. We've been working with the regulators to try to reach resolution. We think that we're getting close to the extent that we're not we are already planning for what that contingency is just given the amount of momentum that we have elsewhere in the business. So hopefully, we'll have a little bit more detail. We'll talk about next quarter in terms of the resolution of that specific transaction, but then also some of the other things we're doing to accelerate the growth of the annuities platform as well.
Robert Lee: Right. Well, thanks for taking my questions, and everyone stay safe and healthy.
Michael McFerran: You too, Rob. Thank you.
Operator: Our next question comes from Michael Cyprys with Morgan Stanley.
Michael Cyprys: Hey, good morning. Good afternoon. I wanted to follow up on some of the headcount additions you guys have made. So seems like you're making some investments here on the direct sourcing origination side. I was just hoping you could elaborate a bit more on how you're going about building that out where specifically are you expanding direct sourcing? Maybe you could talk about what you've been doing there and as you look out over the next year or so, I guess what would be next on your to do list as you think about expanding that out further.
Michael Arougheti: Yes, I don't want to sound Cavalier with the answer, but the simple answer is everywhere. At the end of the day originations drives performance. The more deal flow we see, the more selective we can be, the better we can apply our relative value lens and theoretically, the better our investment performance. And I think we were early in learning that and as a result, I think that we were early in making the investments in the global sourcing apparatus that a lot of other people didn't. And we add in mature businesses. So as an example, if you look at our European direct lending business, by all accounts, we have the market leading franchise there, but we are opening up new geographies. So we've now in 2020, opened up an office in Amsterdam, we've opened an office in Madrid. And so you'll see us expanding geographically and mature businesses. You'll also see us expanding geographically and private equity. So we've been meaningfully building out our European team. Heading into fund six, deployment, there has been strong leveraging our existing footprint, and we'd expect to continue to invest there. So, similar to my comment on the fundraising, given the capability set we have in the capital, the marginal return on adding origination and investment people here is pretty high. And so while you will see us growing new businesses with a little bit more concentrated headcount addition, like we did with special opportunities, or like we did with alternative credit, the simple answer is it's pretty well dispersed and across the entirety of the platform. And that's just the nature of the growth that we were driving.
Michael Cyprys: Maybe just on the credit side, would you be able to elaborate a bit more on, I guess, how would you characterize its focus on sponsor finance versus non-sponsor, finance origination? And then specifically on the non-sponsor, finance, asset based lending and so forth? Would you be able to elaborate on how you've been building out those sourcing capabilities and how you're thinking about that, looking forward?
Michael Arougheti: Sure. It’s a great question. And, again, I think we've had a meaningful head start in the growth of our global private credit franchise. The sponsor business continues to grow, just to put our direct lending franchise in perspective, I think last year, we did 220 discrete transactions committed over $20 billion to about 190 separate companies, and that was coming through close to 2400 deals, so that machine is fully cranked up. And what that allows us to do to your point, is invest in non sponsored and industry specific teams. And so we've been resourcing our traditional corporate business along new industry verticals, like software and technology, healthcare and life sciences, energy and energy infrastructure, sports, media and entertainment. And so we have shown a pretty high level of success, spending up industry teams, where we think that differentiated industry sourcing and information can help us drive better returns, and it will continue to do that. We've done more of that in the U.S. So I think that's a big opportunity for us as we develop more capability in Europe and Asia. ABL, I just want to clarify, we are meaningful players in both ABL and ABS meaning asset based and asset backed. Our area's commercial finance business, I think is one of the leading non bank asset based lenders with regard to working capital lines and revolvers. And our alternative credit business is very quickly becoming a scale player in all things asset based and asset oriented. I think that is a very significant untapped market opportunity for us across the risk return spectrum. And so we are adding a significant amount of resources there and we have over the last couple of years.
Michael Cyprys: Great, thanks so much.
Michael Arougheti: Thanks.
Operator: And our last question will come from Adam Beatty with UBS.
Adam Beatty: Good afternoon. Thank you for taking the question. I wanted to asked about Australia, you already talked about Amp a little bit, but just to broaden it out how you're seeing the environment there in terms of both fundraising and deployment and also maybe an update on the existing JV there. Thank you.
Michael Arougheti: Sure. So Australia's a good growth market for us. We've been adding people and capital. On the primary investment side obviously it's a developed market. And so some of the, traditional private credit and private equity oriented strategies that we have are very relevant in the Australia, New Zealand market. Some of the earlier questions around our potential acquisition and partnership activity, there is probably a good indicator of our views of the opportunity said. Our joint venture with challenger for Dante is doing, what we hoped it would, we've launched our first product into the market early signs are being well received. And we're continuing to work on product development through that joint venture with a fair amount of success. So still early, but cautiously optimistic based on the early returns for the funds that we put into that joint venture.
Adam Beatty: That's great. Appreciate it, Mike. Be well.
Operator: This concludes our question and answer session, I would like to turn the conference back to Michael Arougheti for any closing remarks.
Michael Arougheti: We don't have any other than to again, wish everybody well, stay safe and we do look forward to hopefully seeing everybody in person in the not gand not too distant future. And we'll talk to you next quarter. Thank you.
Operator: Ladies and gentlemen, this concludes our conference call for today. If you missed any part of today's call, an archived for replay of this conference will be available through March 11, 2021 by dialing 877-344-7529, and to international callers by dialing 1-412-317-0088. For all replays please reference conference number 10150592. An archived replay will also be available on a webcast link located on the homepage of the investor resources section of our website.